Operator: Ladies and gentlemen, thank you for standing by. Welcome to the Liberty Media Corporation Fourth Quarter Earnings Call. During the presentation, all participants will be in a listen-only mode. Afterwards, we will conduct question-and-answer session [Operator Instructions] As a reminder, this conference is being recorded, Tuesday, February 28, 2017. I would now like to turn the call over to Courtnee Chun, Senior Vice President of Investor Relations. Please go ahead.
Courtnee Chun: Thanks, Taylor. Before we begin, we’d like to remind everyone that this call includes certain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995, including statements about business strategies, market potential, new service and product launches, the proposed refinancing of certain Delta Topco debt, the potential issuance of Formula 1 K share to the Formula 1 team, the construction of the new ballpark for the Atlanta Braves and the associated mixed-use development, and other matters that are not historical facts. These forward-looking statements involve many risks and uncertainties that could cause actual results to differ materially from those expressed or implied by such statements, including, without limitation, possible changes in market acceptance of new products or services, the ability of our businesses to attract and retain customers, competitive issues, regulatory issues and the availability of capital on terms acceptable to Liberty Media. These forward-looking statements speak only as of the date of this call and Liberty Media expressly disclaims any obligation or undertaking to disseminate any updates or revisions to any forward-looking statements contained herein to reflect any change in Liberty Media’s expectations with regard thereto or any change in events, conditions or circumstances on which any such statement is based. On today’s call, we will discuss certain non-GAAP financial measures including adjust OIBDA. The required definitions and reconciliations, Schedules 1, 2, 3 can be found at the end of the earnings press release issued today, which is available on our website. This call also may include certain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995 regarding Liberty Broadband. These forward-looking statements involve many risks and uncertainties that could cause actual results to differ materially from those expressed or implied by such statements. These forward-looking statements speak only as of the date of this call and Liberty Broadband expressly disclaims any obligation or undertaking to disseminate any updates or revisions to any forward-looking statements contained herein to reflect any change in Liberty Broadband’s expectations with regard thereto or any change in events, conditions or circumstances on which any such statement is based. Now I’d like to introduce Greg Maffei, Liberty’s President and CEO
Greg Maffei: Thank you, Courtnee. Good morning. Today, speaking on the call, we will also have Liberty’s CFO, Mark Carleton. During Q&A, we will be available to answer questions if you have them about Liberty Broadband as well. So on January 23, we close the Formula 1 acquisition on that day Chase Carey was appointed CEO in addition to his job as Chairman. I can pick up no one in the world better suited for this role. I want to once again thank Bernie Ecclestone for his efforts and building this fantastic business. Chase is added a several strong players with team notably Ross Brawn, Managing Director, Motor Sports, who story success in Ferrari and Mercedes is amazing. For you Americans on the call, he is the Bill Belichick of F1. And Sean Bratches, Managing Director, Commercial Operations a fantastic leader, we had a huge role in building the phenomenal success of ESPN. We also received commitments in the last few days for the refinancing of the first lien term loan at Formula 1, we took a full $3.1 billion first of the lean term lean, which was expect to be refinanced at a rate decrease to 50 basis points. Maturity date will be extended from July of 2021 to the earlier of February 2024, or six months prior to the maturity of the second lien term loan, which is currently maturing in 2022. We also expect used cash on the balance sheet to repay $300 million of the first – of the $1 billion second lien term loan. Together these actions in financings will resolve an annual savings around $36 million a year. We expect to close in quarter in Q1, the deals we said and we’re working with the teams to make changes to enhance the sport and potentially invested in Formula 1. We know you’re all excited to talk about this, but recall the deal, which I said close in January, so it’s not consolidated in the Q4 results, which we’re here to discuss. We do plan provide the Q4 results assumes we put in the U.S. GAAP and in the Europe, we will provide a qualitative discussion the earnings release, which were pleasing. We expect that we in the Formula 1 management team will have more discuss in Q2. We very much look forward to start of this great season on March 26 in Australia. And on to the operational highlights, at Sirius XM we had another fantastic year. 2016 revenue declined 10% to $5 billion, net income rose 46% and adjusted EBITDA grew 13% to $1.88 billion. Sirius XM beat 2016 guidance pretty much across the Board. It also generated free cash flow of $1.51 billion, up 15% as of the end of January, Liberty Media’s ownership in Sirius XM stood at about 67.1%. The discount entity is wided. So if you like Sirius, its 15% or more of at LSXMA. Live Nation recorded at six consecutive year of record results, revenue was up 15%, operating income up 40% and adjusted operating income up 12% and constant currency rates as compared to 2016. The Live Nation constant of tenants of $71 million was up 12% and ticket sales were up double-digits year-over-year through February 2017 of this year. On to the Braves, the minor-league teams are get among the top rank, if not the top rank. Mark will go into more detail, but we’re on time in on budget and set for opening day on April 14. And the Braves just received the certificate of occupancy for the new SunTrust Park – a huge milestone. Over Liberty Broadband try to reported strong results. In 2016 pro forma customer growth of PSU’s were up nearly 5%. Revenue was up 7%, we experience double-digit adjusted EBITDA growth. The network path is 49.2 million homes and businesses, car lease serves 26.2 million residential and SMB customers. We’re progressing on track for the Time Warner/Bright House integration confident that will be able to achieve the milestone that we’re set forth in a times that we’re set forward. During 2016 Charter were purchased – nearly $1.6 billion of its common stock. With that, let me turn over to Mark for more financial results.
Mark Carleton: Thank you, Greg. Let’s start with an update at the Braves and the ballpark and the mixed-use project. Very impressive the group down there remains on time and on budget and on track for the home opener on April 14. As of the end of the year approximately $618 million have been spent on the new ballpark of which $373 million was provided by Cobb County and some of that their related entities and $245 million in debt had been borrowed by the Braves. At that same date we spent approximately $309 million on the mixed-used development of which $46 million was provided by our joint venture partners, the remaining $256 million was provided by the Braves of which $188 million was contributed in equity and around $68 million in debt. That project is going very, very well. A year end the Liberty Sirius XM group had attributed cash and liquid investments of $73 million that excludes the Sirius XM actual cash on hand. The value of the Sirius XM stock we held at that time as of 227 those were $16.4 billion and has around $250 million and debt against these holdings. The Braves group had attributed cash and liquid investments of $107 million and the Formula 1 group had attributed cash and liquid investments of $168 million. Formula 1 holds public market securities with the market value of around $2.7 billion as of the end of October, the end of February, I’m sorry with $2.3 billion of attributed debt. Now, we are referring the vicinity as the Formula 1 group, but bear in mind, we did not close until January, so there is no actual financial results in our December 31, 2016 financial statements relative to Formula 1. At year-end the Liberty Sirius XM group had attributed principal amount of debt of $6.2 billion, which includes $5.9 billion of debt at Sirius. Braves group had an attributed principal amount of debt of $338 million and the Formula 1 group had attributed principal amount of debt of $1.6 billion. In the fourth quarter the Formula 1 tracking stock incurred around $15 million in SG&A expense, which includes stock-based comp, but excludes amounts allocated to Liberty Sirius XM and to the Braves tracking stock. For the quarter about $13 million of SG&A, including stock comp was allocated to Liberty Sirius XM and about $2 million allocated over to the Braves Group. And with that, we’ll go back over to Greg.
Greg Maffei: Thanks, Mark. And to the listening audience, we appreciate your continued interest in Liberty Media. We look forward to seeing you at the many upcoming conferences. And with that operator, I’d like to open it up for questions.
Operator: [Operator Instructions] Your first question comes from the line of Vijay Jayant with Evercore ISI.
Vijay Jayant: Thanks. Greg, couple of questions, I know you don’t want to talk too much about F1 still we have there’s – but just more on the qualitative side, do you guys feel that the agreement you have with the teams is equitable, some teams make a lot of money and some don’t. Like some of the other leagues that benefit from the success of the broader league in general. Is there a chance that we could have a change in the contractual arrangements under the new leadership? And then just following up on that, obviously, it seem that F1 and Bernie was pretty much of one man show. Now it’s coming more professional may not be the right one. More corporate wise, more talent added, how do you sort of the margins tracking relative to the monetization opportunity.
Greg Maffei: Thanks Vijay. First on the teams as you rightly noted until 2020, we are under concrete agreement, which steps the terms of the payments to the teams. We are hoping that with some inducements including the stock we are offering was some incentives around trying to create a more balanced and fair and more competitive race environment that we may see changes, but there are no guarantees of that certainly before 2020. Understandably teams that are being paid particular well today will be reluctant to give those payments up. But I think all parties understand the need for our competitive race environment and like the NFL any given Sunday to see an opportunity to have teams come from Hinden win not have the usual players, not in anybody’s interest to have a noncompetitive, non-interesting, non-exciting sporting event. So we’ll update you on progress that as we move forward. On the margin side, I think everything that we thought about this business and the opportunity as we did our due diligence and the time we spent prior to purchasing Formula 1 has only been confirmed. There is an enormous opportunity in areas like sponsorship, there is enormous and the short-term, there are longer term opportunities around digital could in gamification including virtual reality, there are opportunities in broadcasting, there are opportunities probably to create more excitement around the events as I started with, but also more revenue opportunities around those events as we build to the week end. Some of those will take time. I think in the short-term we’re unlikely to see margin expansion, because even though there are some near-term wins around things like advertising. Over the longer term, I think there are – and there’s going to be expense to achieve that. Over the longer term, I definitely think, there’s opportunities, and we’ll pay for that and part to things like smart financial actions like we mentioned on the savings on the refinancing. That’s obviously a savings below the line on EBITDA, but those are important for paying for what we’re going to do. But over the long-term I think everything we thought as I said, challenges are probably is bigger, bigger, but the opportunities is bigger, bigger and we originally thought.
Vijay Jayant: Right. Thanks so much.
Operator: Your next question comes from the line Jeff Wlodarczak with Pivotal Research.
Jeff Wlodarczak: Good morning. Quick follow up on F1, Greg I wanted to get your thoughts on the idea of instituting team spending caps, which seems at least to me like an obvious way to improve the profitability of the teams. And maybe encourage other teams, which won the seriesand then I had a quick one on Charter.
Greg Maffei: Yes. I think it sort of goes part and parcel with the comment I was making to Vijay, about creating a more competitive race environment and creating more excitement and creating more stable opportunity. I think Chase is said rightly, we want the lesser ranked teams, the less successful teams to be – able to be profitable and the highly successful teams to be very profitable. But some of that is stack today. Could you create more fairness with the race cap, it’s certainly something others have talked about. It will be in the execution in that and how to really make it fair, how to make it accountable. And people like Ross Brawn, are far more particular in the topic and be far more effective, I think then many of the prior attempts will see how it goes.
Jeff Wlodarczak: Thanks. And then on Charter, it sounds like ahead of the FCC is circulating in order to eliminate Charters’, Time Warner Cable overbuild requirement concession. Do you think there is opportunities for Charter to really review some of the other deal concession, is that appear to be a odds of the new FCC is making, like you such based on pricing.
Greg Maffei: Thanks Jeff. And then just on that point, I mean it’s a fairly nuance changes I know, you’ve know. But for odd – for listening audience, the change is really the requirement on where the build out occurs. And the lack of requirement that would be, as you rightly said an overbuild, more opportunity – green field more opportunity to compete with people who aren’t necessarily cable players. And that is the nature of the change. It’s clear that this FCC is evolving, it’s clear that there are changes in how many of the documents that we’re adapting under the wheel of FCC will be modified and I think all that are open to being we set in term of like you such base pricing. Obviously some of the definitions of net neutrality have already been moved and we’ll see further one as I suspect.
Jeff Wlodarczak: Thanks, Greg.
Greg Maffei: Thank you.
Operator: Your next question comes from the line of Barton Crockett with FBR Capital Markets.
Barton Crockett: Okay, great thanks for taking the question. I guess stepping back a little bit on F1, there is a general story that was interesting about this broad sport, talking about the pressures at NASCAR. We’ve had Steve kind of I think declines in ticket sales and dealership on TV. Does that kind of pressure at NASCAR create an opportunity potentially to over time trying to move more F1 into U.S.? What is that kind of argue maybe, it’s not very hospitable environment and is maybe kind of a warning signal in your opinion.
Greg Maffei: Thank you, Barton. Couple of things there, I think that article rightly point out some of the challenges at all sports. I want to make sure, they’re fresh, make sure that differentiated, make sure the unique product, make sure there were events. But it also suggested there are substantive and substantial differences from what we have at Formula 1 from NASCAR. The nature of our 21 events in 21 countries suggest far less opportunity fatigue and overwhelming viewers, and overwhelming ticket buyers in anyone region, because that’s not available on that kind of frequency. Our positioning in the marketplace is a probably less to the middle income buyer, but more to the high income. We do want to broaden that, but we sit up at the top of the pyramid is very fluent customer base opportunities to expand that, but our reach doesn’t near to be nearly as deep into the customer buying public as sport that is broad in the United States as NASCAR. So I think there are careful lessons to be learned in there, but also points out opportunities and differentiation that we had Formula 1 have.
Barton Crockett: Okay and then on kind of the same tracking business, with Live Nation now, basically part of a racing tracking stock. Is that the right place for that to said or do you think overtime there might be more appropriate place for the Live Nation stake to set.
Greg Maffei: Barton, that’s a great leading question, couple of thoughts on that. I mean, first Live Nation is an amazingly differentiated company as well. It is both amusive company, which has obviously through its management company, enormous relations particularly with artists – music artists. But it really if you think about another way it is a producer of live events. It is had massive success of promoting those events. It actually has already been involved in certain races like in Singapore with helping promote Formula 1. So there are synergies and potentials you could imagine around what Live Nation can do and what Formula 1 can do. And the Singapore race is considered by many to be one of our couple of three best races in terms of excitement and in terms of our – the full power of the event and leveraging the full audience potential. So I think there is a lot of synergies that are there that arguably are interesting around the Formula 1 and Live Nation’s basis of promoter. And also remember Live Nation is first and foremost the largest ticketing company in the world. And we ticketing off a lot of events at our beyond music NFL, many NBA, many sporting events that in many other events which are non-music. So Live Nation is an interesting company it’s differentiated, it’s neither a pure music fish nor a live event only fell nor its lot of things that are very powerful.
Barton Crockett: Okay great. Thank you.
Operator: Your next question comes from the line of Jason Bazinet with Citi.
Jason Bazinet: Just a question for Mr. Maffei. I think at your Analyst Day in early November you sort of lamented that LSXMA was trading that the discount to Sirius you said, you’re very focused on that, you are focused taking steps to close that gap. And I was just wondering if you could elaborate a bit on what the impediments have been that have prevented you from closing that gap now that four months or so is left.
Greg Maffei: Well I think – Jason thank you for the question. I think we’ve talked in the past about when is the right time to do that. We have a case as I mentioned in the past were Sirius is reducing supplier stock at a faster rate, then we are reducing the LSXMA because frankly we are not reducing any of the LSXMA during the past quarter. They have cash flows $1.51 billion for the year of free cash flow at SXM, to go and attack about $7 billion or – I guess about $8 billion of market cap, we have very limited cash flows at LSXMA, we have quite a lot of balance sheet capacity but we have a $14 billion or $15 billion underlying value there in stock. So we’re attacking with less cash flow a larger problem. Like the market, continue to think we’re going to do something to you use the LSXMA stock to take in SXM, that’s the market prerogative as distinct, I think the odds we do that in some way which is highly dilutive or virtually zero. So think away, but it ain’t going to happen, so you want that against just on that, you are welcome to that’s the markets prerogative, but it wouldn’t hold my breathe unless you got a hell of our loan capacity. So I’ve talked about the ways, we might do that and I’ve also talked about the impediments to doing it. And then I’ve talked about when it would make them most sense. While that’s all happening SXM is continuing to increase our ownership in SXM, because we are not sellers, we believers in the business. And it is nice to see the endorsement of holders like Berkshire Hathaway buying both LSXMA stock and SXM stock. So look it’s an opportunity for us, its one we’ll take advantage the time in place of our choosing.
Jason Bazinet: And can I just ask one follow-up, are there any sort of complexity that arise once the – your ownership, and Sirius gets the 80%. Can you just remind us of those, if you are any complexities?
Greg Maffei: I think the largest complexity, which is not overwhelming is we will need to have some sort of tax sharing agreement, which is fair to the minority holders, that’s not an unusual situation, its one that can be worked out relatively easily. And I don’t think its one that we’ll take in enormous amount to debate or contention, if we get to that point.
Jason Bazinet: Okay. Thank you.
Operator: Your next question comes from the line of John Tinker with Gabelli & Company.
John Tinker: Hi, thank you. Couple of quick questions on the Braves. Could you just talk a little more about the timing of the opening of the mixed-use development and some of the real estate, the residential and commercial, and when you’ll actually see cash flows from them coming through? And secondly, there was some speculation recently on the Miami Marlins, could you just give us your view as to what sort of valuation of baseball teams is at the moment, thanks.
Greg Maffei: So I’ll comment first a little bit on the battery, and I’ll let Mark add to that. And then I’ll comment on the Marlins as well. As I think we said, San Diego progress on April 14 opening home day opening day for the new stadium. I expect battery will be operating in part not every retail site will be completely least but several and many will. And many of the other parts avenue commercial real estate are well under way at least I think the expectation is Comcast I think we’ll take occupancy in November but Mark Carleton can correct me or somebody else. So well the battery will be partially opened as a retail site, there are continuing efforts to expend that that will be beyond the April 14 opening day for the stadium. The Marlins valuation the $1.6 billion, there are a scuttle about that that may be a higher inflated number that, that may be a name plate number, it doesn’t reflect real economic or – represent real economic value. We’ll see obliviously no deal has been announced, it was only rumored and now there are rumors but it’s not happening to that group in that price, so who knows. I would pass it as a proud owner that the Atlanta Braves one of the store – more stored and longest franchises in baseball frankly in professional sports in the U.S. would be far more valuable than the Marlins given our fan based, given the opportunity, given the new stadium, given the potential TV revenue ahead, given the breadth of the radio coverage many, many factors that we would be more valuable than the Marlins whatever prices that we printed if it is.
Mark Carleton: Certainly that – Greg that is, our belief in terms of where our team is right now in terms of apparel where our prospects are and our minor-league system as the number of pictures that we have in that system. But those numbers are not surprising to what’s the business of baseball is very, very good. And there is a lot of value in those teams. So we’ll see where the Marlins end up, but we were not surprised that at some of the numbers that will be in front around. In terms of the battery, we will have a number of the – up the food and beverage and retail stores open, at the end of the month or at the end of March coming in, and in April, we’ve intentionally help back some of that space and not on purpose leaf everything out to have some spot market opportunities for what we think is a good growth market and all of this is space, the residential is in a different space, some of the other space is retail and buildings are all in the plans. So this will be an ongoing three to five-year kind of organization to build it out, but the Live Nation music venue will be open, will have ample food and beverage and retail that will be open. But I think they have managed the capacity and the leasing and the contracting quite thoughtfully.
John Tinker: Thanks.
Greg Maffei: Thank you, John. Thank you, Mark. Next question please.
Operator: Your next question comes from the line of Kannan Venkateshwar with Barclays.
Kannan Venkateshwar: Thank you. Greg on Charter essentially there was the speculations around Verizon and Charter sometime back and obviously reacted to that. How do you think about wireless from your perspective given the currency that you have in Charter at these levels as well as the scarcity of assets on the wireless side especially both the incentive works and expectations. So if you can walk us through your thoughts on wireless that will be fair.
Greg Maffei: Yes. I think it’s a great question. It’s an involving one. The first and foremost I believe it’s the broadband market and position the cable has in video and broadband is probably fundamentally more attractive than the wireless business. Where the competition around price around effectively things like data caps, which are just a form of price or all much more vociferous and the competition currently we are experiencing in the broadband market. In addition Charter sees enormous opportunity and just executing on its plan. The plan around Time Warner integration, Bright House integration full digital video simplified packaging, simplified pricing, upgrades in speeds at broadband, all those we think are a great plan. So when you talk about the currency of Charter, I think one of the things that the shareholders – major shareholders like Bright House and ourselves and I expect Tom is a major shareholder personally. I think, our currency is going to get more valuable over time not less as we execute on that plan. And fundamentally, we are in a very good business. Longer term is a – fairly clear there was a consolidation in wireless and wireline in those merge. Yes the time frames are less than clear. The opportunity is continue to open up a new ways or other players out there was Spectrum. There are other players [indiscernible] to enter the market all the time like Google. So I think Tom and team are testing or enter into wireless two things like our MVNO and WiFi first products. Whether ultimately we find the opportunity to do something around a more complete wireless play will see, I think that doesn’t need to be decided today. And I think whatever happens we will be in a stronger position six months, nine months, two years from now than we are now in terms of having our currency that is able to execute on a acquisition with stock of that’s what’s necessary.
Kannan Venkateshwar: All right, thank you.
Operator: Your next question is from the line Tom Eagan with Telsey Advisory Group.
Tom Eagan: Great, thank you. A follow-up on the FCC question. The current FCC is certainly looking to lighten the lower for cable, but the FCC hasn’t signaled any interesting getting involved and either retransmission fee hikes. Are still allowing the program is to block the broadband access to their sites. So any thoughts on relief in, on these two issues. Thanks.
Mark Carleton: Yes, let me just first time if I may – if I can take the Liberty of rephrasing your deep description. I would say its leveling the playing field. Things like the work on privacy, where the requirements for what the players – Silicon Valley players, Google, Facebook, et cetera, what that privacy requirements were considerably less than what was being asked of companies like Charter. And the FCC is done things to level that playing field rather than it may have the impact of like low, but I think it’s a question of basic fairness on, how players are treated. As far as thinks like retrans, I believe that Commission of Pie and is brethren are likely to think about free market solutions rather than trying to use their regulatory hammers much as possible to solve those problem. So I would imagine that retrans as top order, in terms of using them coming in and using heavy handed fixing that, but we will see.
Tom Eagan: So, you understanding that, the programmers could still – taken still block broadband subscribers’ access to their sites, right.
Mark Carleton: The latter point, I think it’s a very fair one. The larger retrans question, I think it’s a thorny one, I think the latter point is, you’re excellently very fair, when take programmer X says that a broadband subscriber from a cable company within they don’t have a video relationship can’t visit online site. I would think that the most people – most Americans including our FCC commissioners would find that pretty offensive.
Tom Eagan: Great. Okay, thank you.
Mark Carleton: That’s a very – that’s a fairly narrow case, right.
Tom Eagan: Yes.
Operator: Your next question comes from the line of Brandon Ross with BTIG.
Brandon Ross: Hi, thanks for taking the question. So Greg, on these Sirius call, we ask Jim Meyer about the public difference in attitude on a potential Pandora acquisition between yourself and Sirius Management. And you responded that there is no disagreement between Liberty and Sirius on that asset. Does that mean that you both want to buy Pandora? And I assume you would never buy IT at the Liberty level.
Greg Maffei: I’ll take the first part, yes I think the – I will take the second part first rather. I would think there is virtually zero chance that we would do anything at the Liberty level. But there’s not involved Sirius would work in conjunction with Sirius. I think Jim’s comments right on Jim and I are – you couldn’t put a – the finished wage between Jim and I are believe in Pandora. Interesting assets that has not clear that the valuation makes sense. I think we’ve been consist in that. At the right price, interesting, not clear this is the right price. Frankly, I think that, whether its Pandora holders or whomever have hike that we’re going to be there to bid that would help my breath that these levels. Again, my comments are you can hope what you want, whether there’s a price that leads expectations or whether we’re going to execute on that. That’s another matter.
Brandon Ross: Great thank you.
Operator: Your last question comes from the line of Matthew Harrigan with Wunderlich Securities.
Matthew Harrigan: Thank you. I guess you writing on – drafting on Vijay’s questions to the extent. Just some talk in the European business press about the F1, strategy group having lot of meetings would be pretty re-energized to get us little high bound before and some of the perspective engineering changes. So we felt, tossing out loud acronyms you see, a lot of activity there could be energizing in the short-term, and then there is specific situations on the British Grand Prix, it’s Silverstone. And then obliviously [indiscernible] in terms of retaining and getting back those races in the latter German track, I guess it’s particular iconic for the sport. Thank you.
Greg Maffei: Yes, I mean I think first, there are many players in this which makes a complicated from the FIA to the teams, but many you mentioned the F1 strategy group to there are lot of players, I think fundamentally Chase and Ross Brawn are at the center are trying make these races more interesting, more comparative, more exciting. I think the uniformity about many reactions that will take to do that. Whether we can execute on those, how long it will take that still open, but I think there is a lot consensus around ideas that could make this sport more compelling to the benefit of all peer players, teams, fans regulators and the F1 commercial entity. So all lot of a lining on those, execution is not as easy and as we said there – as I said there are many players in here with getting agreement, getting consensus on actual action items, it’s not always as easy, but I’m optimistic. On the teams rather on the tracks you mentioned like Silverstone and like the German track. Look, one of the things we need to do is make as I said the race is more compelling and exciting and more beneficial to promoters. Take best practices what worked and exciting races like Mexico City, like Singapore, like Abu Dhabi and bring those best practices across the globe to traditional tracks, which may not at had either as much financing, capability, but also just don’t have as exciting a product at the moment. There are always tracks that go in and out, it is most negative when you have one of our – some of our traditional Western European tracks, which were at the hard of the fan base like in Germany go out. But there is already progress to bring them back and as you may recall we added, there were car track in France another place where we’ve been gone for several years, which is the origin of Formula in France and in England. So we are big believers in making sure places like Silverstone, and the French track and the German tracker are on the race calendar and our exciting events, which are beneficial to all the players.
Matthew Harrigan: Thanks, Greg.
Greg Maffei: So with that operator, I think we’re good for the morning. Thank you all for your interest in Liberty meeting. As I said we hope to see you over the coming month with the many events that we’re speaking at and on the next earning call that quarter away, thank you.
Operator: Thank you. Ladies and gentlemen, that does conclude today’s conference call. We thank you for your participation and ask that you please disconnect your lines.